Operator: Good day, everyone, and welcome to the Xcel Energy's Second Quarter 2016 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Paul Johnson, Vice President of Investor Relations. Please go ahead, sir.
Paul A. Johnson - Vice President-Investor Relations: Good morning, and welcome to Xcel Energy's 2016 second quarter earnings release conference call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; Bob Frenzel, Executive Vice President and Chief Financial Officer. In addition, we have other members of the management team in the room to answer your questions. This morning, we will review our 2016 second quarter results, reaffirm 2016 earnings guidance range and update you on recent business and regulatory developments. As a reminder, some of the comments during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. I'll now turn the call over to Ben.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, thank you, Paul, and good morning, everyone. Today, we reported GAAP and ongoing earnings of $0.39 per share for the quarter, flat with last year. Our year-to-date earnings are slightly ahead of last year, but a bit behind expectations, reflecting lower-than-expected sales and some unfavorable weather. However, we have taken action to reduce O&M expenses. And, as a result, we are confident in our ability to deliver ongoing earnings solidly within our 2016 guidance range of $2.12, $2.27 per share. And Bob will provide more detail on our financial results in a few minutes. While it's been a busy quarter, we've made significant progress in our regulatory initiatives. Let me start out by addressing some of the highlights. We're making progress in the Minnesota rate case and have participated in several mediation sessions. As a result, we have reached a settlement in principle with several of the parties, but the terms remain confidential until we reach a final agreement. The settlement is anticipated to address all revenue issues. Any settlement would still have to be reviewed by the ALJ as well as approved by the Commission. We also recently received comments by 15 parties on our Minnesota Resource Plan. Feedback from the parties was generally supportive for our proposal for early retirement of the two units at our Sherco coal plant, replacement of that generation with natural gas combined cycle unit at Sherco and moving forward with significant wind additions in the next five years. A Commission decision is expected later this year. Now, turning to Colorado. Yesterday, we filed for the implementation of our advanced grid initiative, which comprises major projects to improve the customer experience, enhance grid reliability and enable the implementation of new and innovative programs and rate structures. The project includes the installation of advanced meters and the implementation of hardware and software applications to enhance the distribution system. The estimated capital investment for the project is $500 million, which is included in our base capital forecast. We're excited about this project and view it as a template for advancing and enhancing our system to meet the needs of our customers. In July, we also filed a decoupling request with the Colorado Commission. The proposed decoupling mechanism would allow PSCo to adjust annual revenues based on changes in weather-normalized use per customer for the residential and small C&I classes. Now this is very similar to the program that was approved in Minnesota. We expect Commission decisions for both the advanced grid initiative and the decoupling proposal by mid-2017. And finally, last week, we received testimony in our Rush Creek 600-megawatt wind proposal in Colorado and, in general, we had strong support for our project including the staff. The Colorado staff recommended approval of Rush Creek subject to certain conditions including a capital cost cap, a shortened depreciation life, and changes to the timing of the in-service date to coincide with the Pawnee-Daniels transmission line. The staff also recommended granting approval of interim cost recovery through the Electric Commodity Adjustment clause or the ECA as we had requested for the project. Finally, in support of balanced disclosure, I should point out that of the nine parties that filed testimony, one intervener, the Sustainable Power Group recommended the application should be denied. But we remain on an accelerated schedule, and we expect a Commission decision in November of this year. With that, I'll turn the call over to Bob to provide more detail on our financial results and outlook in addition to a regulatory update. Bob.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Thanks, Ben, and good morning, everyone. Today, we reported GAAP and ongoing earnings of $0.39 per share for the quarter, comparable to the $0.39 per share earned last year. The most significant drivers in the quarter include the following: electric margin increased earnings by $0.07 per share; and natural gas margin increased earnings by $0.01 per share, largely due to rate increases and higher capital rider revenue in various jurisdictions. Offsetting the higher margins were increased depreciation expense, which reduced earnings by $0.06 per share; higher interest charges, which reduced earnings by $0.02 per share; and increased property taxes, which reduced earnings by $0.01 per share. The higher fixed charges reflect our increased capital investment to add renewables, and improve the reliability of the system for the benefit of our customers. Our year-to-date earnings are slightly below plan, largely due to lower-than-expected sales and mild weather experienced in the first quarter. However, we have taken actions to hold the line on O&M expenses to offset these headwinds. As a result, we're confident in our ability to deliver ongoing earnings solidly within the 2016 guidance range. When we initiated guidance earlier this year, we were anticipating weather-adjusted electric sales growth between 1.5% and 1%. This projection included the impact of leap year. However, despite the fact that we continue to see strong customer additions of approximately 1%, our year-to-date weather-adjusted electric sales have actually declined about 0.6% or 1.1% when adjusted for the extra day of sales from leap year. Our sales continue to be impacted by lower commodity prices on some of our commercial and industrial customers and declining use per customer in the residential class, driven by conservation efforts and gains in home energy efficiency. And while we had expected some C&I growth in the back half of this year, we believe the commodity and economic backdrops make that unlikely. As a result, we revised our outlook for full year retail electric sales to be approximately 1.5% below 2015 results, which is consistent with where we are year-to-date. And as you come to expect from the company, with lower sales we must prudently manage our operating expenses. We've implemented various cost management efforts to limit expenses that partially offset some of our revenue headwinds. Our year-to-date O&M expenses are lower than last year, and we expect O&M to be in line at the conclusion of 2016. And we believe that our recent rate outcomes assume we actively manage our costs. Long term, we continue to mitigate O&M increases through our efforts to improve productivity through capital investments and the use of technology. On the regulatory front, we remain busy and have made excellent progress in various proceedings in our states. Details of these can be found in our earnings release, but let me provide some highlights. Last year, we filed a multi-year plan in Minnesota which reflected a requested rate increase of approximately $300 million over three years. This was based on an ROE of 10% and an equity ratio of 52.5%. Interim rates were implemented in January. As Ben noted, we are working to achieve a definitive settlement with several of the interveners. The finalized settlement agreement would still require Commission approval. In New Mexico, we reached a unanimous rate case settlement which will increase rates by about $23 million. The Commission is expected to rule on this settlement this month and rates would be implemented shortly after that decision. We also have a pending rate case in Texas in which we're seeking a rate increase of approximately $69 million. We initiated settlement discussions and are hopeful that we will reach an agreement. After the settlement agreement, we would expect a Commission decision in the first quarter of 2017. As a reminder, final rates are retroactive back to July of 2016. Finally, we have a pending rate case in Wisconsin. In aggregate, we've requested rate increases of approximately $32 million between electric and natural gas. We expect staff testimony later this month, with a Commission decision in the fourth quarter, and final rates implemented in January of next year. In summary, we continue to make strong progress on various initiatives. In Colorado, we filed our Rush Creek application, our resource plan, a decoupling proposal and our distribution grid modernization program. In Minnesota, we are seeking to finalize a settlement in principle in our rate case and are moving towards a constructive outcome in our resource plan. We are on track to deliver ongoing earnings solidly within our 2016 guidance range and we expect to grow earnings at 4% to 6% over the long term. This concludes our prepared remarks. Operator, we'll now take questions.
Operator: Thank you. We'll go first to Jonathan Arnold at Deutsche Bank.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Good morning, guys.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hey, Jonathan.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Yes. So, just as we think about the cadence of the second half, you obviously, you were $0.01 ahead in the first quarter. You were flat in the second quarter. But you need, I think, $0.08 in H2 to get into the range and presumably more to get solidly in there. So, can you talk about whether you see that coming more in Q3, Q4 or just what the kind of likely drivers are? It sounds like O&Ms might be a piece of the puzzle here, but just how we got that?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I think it's going to be pretty balanced through the second half, Jonathan. But to answer your question, as we mentioned in the call, we have top-line revenues coming from New Mexico and the Texas cases. We are seeing some favorable weather for a change. July was a good month. And you'll recall, last year, we continued to see unfavorable weather. And I'm very confident in our ability to manage our revenue streams and our cost initiatives. So, you put all that together and that should put us solidly in the middle.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay, great. Thank you. And then, just on the Minnesota settlement, you said several parties. Does that include the DOC, can you say? And is it – are we likely to see a three-year deal or something different?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah. Jonathan, I'd just assume keep all the terms and the parties confidential at this point. We want to get the agreement finalized and quickly present it to the ALJ and then move forward from there. So, we'll be able to talk more freely about the terms probably in mid-August.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay, great. That's helpful, the timing. Thank you. And then, I just wanted to ask if I may – just one thing on the upside – the base and upside capital forecast. Yeah. I think the Colorado grid filing you made, it says in the release that that's largely in the base capital forecast, but then you still have that 12% of the upside CapEx is in grid modernization. So, if the Colorado piece is in the base, can you just speak to what's in the 12%?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah. That would be making a similar proposal on Minnesota.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Great. Okay. I was guessing that, but I think that's it. Thank you, guys.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Thanks, Jonathan.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Thanks, Jonathan.
Operator: We'll go next to Ali Agha at SunTrust.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Thank you. Good morning. Hey. Good morning. So, from your numbers, you've told us that at the OpCo level, the earned ROE LTM was 8.89%. Can you remind us what is the authorized weighted average ROE? In other words how much of a lag would there be when we look at these numbers?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: At the OpCo level?
Ali Agha - SunTrust Robinson Humphrey, Inc.: Yes.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah. Well, right now, our average ROE is somewhere around that upper 9s%, call it 9.8%, so that would be about 100-basis-point lag.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. Okay. And then also drilling into the changes here, so, you've lowered the overall electric sales roughly about 100 basis points from your original and that's $0.05, $0.06 of headwinds, if you will. So, did I hear you right that you've identified costs that will offset all of that or should we assume that the bulk of that will be offset by the cost? I wasn't clear on that.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, it's various drivers. Cost is a big piece, the additional revenue from Texas and New Mexico, and the fact that we are seeing some favorable weather. You put all that together and that's the offset.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Yeah. But I would imagine Texas and New Mexico would be obviously factored into your original guidance. So, the weather and the cost would be incremental is the way to think about it?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Right. But if you take a look at the O&M and the changes we've made in those assumptions.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Right. And then just to get a sense, also to clarify, when you said all key revenue requirements would be part of the settlement if it gets finalized. Obviously, does that include ROE as well? Just to be clear on that, Ben.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, yeah, ROE would be embedded in the revenue assumptions. Now, what needs to still be worked out, just for full disclosure, is some of the rate design elements, things that some jurisdictions you call phase 2, but in Minnesota are typically combined into one proceeding.
Ali Agha - SunTrust Robinson Humphrey, Inc.: I see. Okay. Great. Thank you.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Welcome.
Operator: We'll go next to Jerimiah Booream with UBS.
Jerimiah Booream - UBS Securities LLC: Hey. Good morning.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hi.
Jerimiah Booream - UBS Securities LLC: I just wanted to touch upon the upside CapEx plan first. Obviously, you took out the nat gas versus last quarter on the upside plan, which I think was about $300 million. Looks like you replaced it with other. Can you provide any color around what the opportunities are there?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I think the big opportunities are the continued opportunities we see in renewables in our backyard. And with the extension of the PTC and the ITC, we're actively looking at how we can take advantage of those tax incentives to do even more for our customers, so more to come on that. But it's always worth remembering that we have some of the finest wind resources right in our backyard and that's from Minnesota all the way down to Texas. So, continue to look for those opportunities. That's what we call, again, steel-for-fuel opportunities. And it works so well just like Rush Creek is working so well in Colorado because you basically are buying wind at a price point less than you can lock in natural gas reserves. So, that's a pretty compelling story for customers and, I think, investors alike.
Jerimiah Booream - UBS Securities LLC: Yeah. And that kind of leads to my second question, so on that front in light of the IRS guidance that was given. Do you have any numbers around the potential opportunity maybe on a megawatt basis on maybe what might be rate baseable on the wind front? Or just how you might handle that going forward on repowering specifically?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: On repowering?
Jerimiah Booream - UBS Securities LLC: Yeah. The repowering opportunity in light of the four-year construction guidance from the IRS?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah. I mean, I think most of the focus is going to be on new wind. We certainly are going to be looking at repowering opportunities too. But, I think, they're a little more one-off than the opportunities just to add the incremental wind to the system.
Jerimiah Booream - UBS Securities LLC: Okay. Thanks.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Next to Chris Turnure at JPMorgan.
Christopher J. Turnure - JPMorgan Securities LLC: Good morning, Ben and Bob. You talked in your prepared remarks about the Rush Creek staff recommendation being favorable and there being some amendments kind of suggested in there. Was there anything that kind of meaningfully deviated from your expectations in your request? And can you clarify what they said in regards to timing on that?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: I wouldn't say anything was – again, it was supportive. But as I mentioned, the shortened depreciation life syncing up more closer to the transmission and service. If all of those recommendations were adopted by the Commission, I do think it would change some of the timing of the project, but that would be it.
Paul A. Johnson - Vice President-Investor Relations: Chris, the timing that they suggested would just delay the project going into service from 2018 until late in 2019.
Christopher J. Turnure - JPMorgan Securities LLC: Until late 2019, okay.
Paul A. Johnson - Vice President-Investor Relations: Correct.
Christopher J. Turnure - JPMorgan Securities LLC: And how does this project fit into any potential incremental external equity that would be needed to be raised by you guys?
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Yeah. Hey, Chris. It's Bob. We've said since the onset of this project that we would not raise any incremental equity associated with this project.
Christopher J. Turnure - JPMorgan Securities LLC: All right. And then, my only other question is on your load growth forecast kind of going into the year, it obviously is pretty weak year-to-date, and it's a little bit more on the commercial and industrial side. So, hopefully, the impact is not quite as proportionally bad as it would have been on the residential side. But kind of where did you go wrong in hindsight in your forecasting efforts? What was the main cause of that deviation?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: I think I'll start and I'll ask Bob to chip in where he sees fit. I think we were looking for overall a stronger GDP number, okay. And then we were also looking for more robust commodity markets. And so, when the commodity markets, as you know, have been flat, steel has been very tough, particularly with some of the currency issues internationally, so that is impacting the larger C&I customers. To your earlier commentary, the margin associated with that is not nearly the same as it would be on the residential side. We do believe, however, though, there is some trickle-down impact that may be impacting the smaller C&I customers. So, we still have some load coming on, but there has been some projects that, talking to our customers, have not materialized as we originally expected. So, does that help?
Christopher J. Turnure - JPMorgan Securities LLC: Yes. That was helpful. Thank you.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Next to Scott Senchak at Cannon (21:23).
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Hey, Scott (21:26).
Unknown Speaker: Hi, thanks. Hey. How are you? Just a question on some of the upside CapEx. If you start to execute on more of this stuff, how should we think about financing and what kind of metrics you want to be at? Would you need any equity if you hit all this stuff? Just any color on that.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Yeah. Scott (21:43), it's Bob. Our expectation is if we executed on the upside capital case that we would unlikely need any equity in the program. We do watch our credit metrics closely. We've committed to keeping strong credit ratings at the operating company and the holding company, but we wouldn't expect to issue any equity in conjunction with the upside capital program.
Unknown Speaker: Okay. Thanks. And then, I guess just – you talked a little bit about more wind in Minnesota. I'm just wondering how is the market up there? Is it able to handle more wind? Are we at a point where it's easy to add more wind? I know SPP has hit some kind of records on wind lately. And just kind of where are you in that marketplace?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, MISO is a big footprint and so, I mean, I certainly think from a reliability standpoint, from a grid standpoint, you can handle more wind, and there's going to be more wind, and it's pretty economically compelling right now. So, I'm not too worried about that. Scott (22:49), in Colorado, where we're not part of an RTO, we have experienced wind as high as I think 65% of our load in any particular time and we've managed to integrate it very well. And part of that is we've developed some of the most sophisticated wind forecasting software in the business and it's helping us be more efficient with wind. So, very little curtailments in our wind portfolio; we're pretty proud of that.
Unknown Speaker: Okay. And so, that other bucket that's about 22%, I guess how should we think about if that is incremental renewables, is that something has to be done in a rate case? Or are these kind of one-off things? Or how should we think about timing of that as well?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: I'm looking at the 22% – hang on a second. Are you talking about on the upside cases?
Unknown Speaker: Yeah. Yeah. The upside case.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, listen. I mean, remember that we have riders to cover renewable in our big jurisdictions of Minnesota and Colorado.
Unknown Speaker: Got you. So, it would still need to be approved before it was able to go in the rider? Or how would that work?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah. Yeah. That's correct. You still got to get a Certificate of Public Need.
Unknown Speaker: Got you. Okay. But the numbers, at this point, you guys see is pretty compelling. Okay. Thank you very much.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Next is Travis Miller of Morningstar.
Travis Miller - Morningstar, Inc. (Research): Good morning. Thanks.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hey, Travis.
Travis Miller - Morningstar, Inc. (Research): If you look across your rate cases that are in process and any kind of other regulatory discussions you've had, what would you say are the one or two things, components that you're seeing the most pushback on? Is it ROE? Is it capital structures? Is it CapEx plans, O&M? What components are you seeing the most pushback on either from interveners or from regulators?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, it's not really O&M because we're not asking for a lot of O&Ms. So, it's going to be in the capital. It's usually very much aligned with our stakeholders. So, I would say, the biggest pushback is the fact that we're in a low interest rate environment now for a number of years and it is putting downward pressure on ROEs. And that's the challenge. The opportunity we have is, I think, we increasingly are sharpening our pencils and figuring out how to manage our revenue streams and keep cost consistent with where we see sales growth. So, you put all that together and, I think, we meet the challenge. And, I think, we're well positioned to meet the opportunities out there, which is finding that steel-for-fuel opportunities, finding things that are aligned, like our advanced grid initiative, with what our stakeholders want and balancing that with a really affordable proposition to our customers. And I think we've strike the right balance at the end of the day.
Travis Miller - Morningstar, Inc. (Research): Okay. You'd answered my other question, so I appreciate it.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Next to John Barta at KeyBanc.
John J. Barta - KeyBanc Capital Markets, Inc.: Thanks. Good morning. I guess, just to take a step back on Rush Creek, I know it has to be reasonably priced and show an economic benefit, but what's the underlying driver behind the increased renewables. Is it (26:13) RPS or what exactly?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, it's continuing to decarbonize our fleet with affordability in mind. And in this case, what you're doing with Rush Creek is primarily displacing fossil fuels. And so, you're lowering your carbon footprint and you're doing it at a price point that is compelling. That's a pretty winning proposition in my book.
John J. Barta - KeyBanc Capital Markets, Inc.: Okay. And then, just on the Colorado IRP, do you have the long-term load growth assumption?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: The Colorado IRP?
Paul A. Johnson - Vice President-Investor Relations: John, I think, we'd have to give – why don't you give me a call and we can get back to you on that. (26:58).
John J. Barta - KeyBanc Capital Markets, Inc.: Okay. All right. Thank you.
Operator: And next to Ben Budish at Jefferies.
Benjamin Budish - Jefferies LLC: Hey, guys. I just had a similar question on the load growth forecast post 2016. Just curious what's built into the 4% to 6% growth and kind of what kind of sensitivity there is around any deviations in the load growth?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I think beyond 2016, we're looking at flat to marginal sales growth. Okay. So, that's the key question there. And embedded in the 4% to 6% is our ability to meet some of the challenges. We talked a little bit about some of the impact of ROEs that have fallen across the nation. Our ability to meet that with prudent cost control and then, capturing the great opportunities, again, that are right in our backyard, the steel-for-fuel opportunities, the de-carbonization at an affordable price point. Those are all the things that I would say that are embedded in those growth assumption.
Benjamin Budish - Jefferies LLC: Okay. And then just one more question. I think earlier in the call, you mentioned O&M was expected to be in line at the end of the year. Did you mean in line with the guidance of 0% to 2% or in line as in flat versus 2015?
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Sorry, the latter.
Benjamin Budish - Jefferies LLC: Okay.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: In line versus 2015.
Benjamin Budish - Jefferies LLC: Okay. Thank you.
Operator: And that concludes today's question-and-answer session. At this time, I'd like to turn the conference back to Bob Frenzel, Chief Financial Officer, for any additional or closing remarks.
Robert C. Frenzel - Chief Financial Office & Executive Vice President: Thanks, everyone, for your attention and time today. We look forward to seeing you next quarter. If you have any questions, please follow up with Paul.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Thanks, everyone. Have a good day.
Operator: Thank you. This does conclude today's conference. We do thank you for your participation. You may now disconnect.